Operator: Good morning and welcome to the Cracker Barrel's Fiscal 2016 Fourth Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Jessica Hazel, Manager, Investor Relations. Please go ahead.
Jessica Hazel: Thanks, Gary. Good morning, and welcome to Cracker Barrel’s fourth quarter fiscal 2016 conference call and webcast. This morning we issued a press release announcing our fourth quarter and fiscal year results and our outlook for the 2017 fiscal year. In this press release and on this call, we will refer to non-GAAP financial measures for the current fiscal year adjusted to exclude the impact of a reduction of the provision for uncertain tax positions as well as the impact of the current year, retroactive, reinstatement of the work opportunity tax credit. We will also refer to non-GAAP financial measures for the prior fiscal year, adjusted to exclude the prior year impact of the retroactive reinstatement of the work opportunity tax credit and a prior year litigation matter. The Company believes that excluding these charges and tax effects from its financial results provides information that may be more indicative of the Company’s ongoing operating performance following improving comparability to prior periods. This information is not intended to be considered in isolation or as a substitute for financial information prepared in accordance with GAAP. The last page of the press release includes reconciliation from the non-GAAP information to the GAAP financials. The press release can be found in the investors section of our website crackerbarrels.com. In that press release and during this call statements may be made by management of their beliefs and expectations of the company’s future operating results or expected future events. These are what are known as forward-looking statements, which involve risks and uncertainties and in many cases are beyond managements control and may cause actual results to differ materially from expectations. We urge caution to our listeners and readers and considering forward-looking statements and information. Many of the factors that could affect results are summarized in the cautionary description of risks and uncertainties found [ph] at the end of this morning’s press release and are described in detail in our reports that we filed with, or furnished to you with the SEC. We urge you to read this information carefully. We also remind you that we do not comment on earnings estimates that are made by other parties. In addition, any guidance or outlook we provide or statements we make regarding trends speak only as of the date they are given and we do not update or express continuing comfort [ph] list our guidance, outlook or trend except and broadly disseminated disclosures such as this morning’s press release, filings with the SEC or as otherwise required by law. On the call with me this morning are Cracker Barrel's President and CEO, Sandy Cochran; Senior Vice President and CFO, Jill Golder; Senior Vice President of Marketing, Chris Ciavarra and Vice President and Principal Accounting Officer, Jeff Wilson. Sandy will begin with a review of the business and Jill will review the financials and outlook. We will then open up the call for questions for Sandy, Jill, Chris and Jeff. We ask that you please limit your questions to matters relating to the Company’s performance, outlook and plans. With that, I'll now turn the call over to Cracker Barrel's President and CEO, Sandy Cochran. Sandy?
Sandy Cochran: All right, thank you, Jessica. Good morning. Thank you for joining us on our call. This week marks Cracker Barrel’s 47th anniversary and we are pleased to celebrate this milestone by sharing highlights from our fourth quarter and fiscal year as well as outlining some of our company plans for fiscal 2017. During fiscal 2016, we remained focused and executed well on our business priorities that were laid out at the beginning of the year. As you can see from today’s press release we concluded another strong year for Cracker Barrel Old Country Store and our shareholders. During the fourth quarter, we grew our total revenue by 3.7% with comparable store restaurant sales and retail sales both exceeding 3%. We outperformed our casual dining peers in sales and traffic by the largest quarterly relative outperformance in fiscal 2016 and we increased our operating income by nearly 7%. We also opened four new Cracker Barrel stores. In addition, during the fiscal year, we implemented several new initiatives to support operations and reduce costs by approximately $7 million. We improved our adjusted diluted earnings per share by more than 10%. We declared $7.70 in dividends per share including a $3.25 special dividend. We received top honors from multiple industry recognized consumer research groups like Technomic Inc. and Nation’s Restaurant News, and we successfully developed and brought to market our fast casual concept the Holler & Dash biscuit house. Jill will discuss our results for the fourth quarter in detail, and I’ll speak to you about our business priorities for fiscal 2017 but before that I’d like to provide you with an update on our fourth quarter performance. Starting with our summer menu promotion, our menu offerings included the highly anticipated return of our foil wrapped Campfire Beef and Campfire Chicken meals, the introduction of a new Campfire Mixed Grill and an Indulgent Lemon Blueberry French Toast breakfast. We were pleased with the performance of this line up and received positive feedback from both our guests and field operations team in addition to driving higher sales mix during the fourth quarter versus the prior year. To support our Campfire promotion, we ran a fully integrated marketing campaign featuring dedicated Campfire billboards, product specific national advertising, in-store marketing, the social media content. We believe this marketing strategy better resonated with our guests and we plan to incorporate this approach into our fiscal 2017 advertising. Another important component of our marketing mix is our music program, which affords us a platform for generating awareness of the Cracker Barrel brand through our own and our partner artists, social and digital media channel through exclusive CD releases, proprietary online music videos and exclusive retail merchandise collections we leverage our music program as an experiential influence that further differentiates our brand. As part of our music program, the fourth quarter included an album release with Grammy nominated band "NEEDTOBREATHE" followed by an August introduction of an exclusive retail merchandise collection inspired by legendary Country music artist, Reba McEntire. We believe these strategic brand partnerships allow us to reach our guests in a way that is uniquely Cracker Barrel. Also on the retail side of the business, we were pleased with the success of our merchandise offerings during the fourth quarter, particularly our women’s apparel category. Although as the quarter progressed, we experienced lower conversion rates and pressure on our retail sales due to the lower year-over-year store traffic. While much of the operators’ focus during the fourth quarter was on delivering the Cracker Barrel experience our guests have come to expect during the summer travel season, we continue to make headway towards our three year plan to reduce store operating costs. Driven by our cost savings initiatives like targeted food management, new LED lighting technology and food processors, we achieved approximately $7 million in reduced operating expenses in fiscal 2016 and anticipate further progress in fiscal 2017. Finally, regarding our store growth, we opened four new stores in the fourth quarter including our first store in Nevada, which brought our total Cracker Barrel Store count at the end of fiscal 2016 to 639 Cracker Barrel Stores in 43 states. Additionally, we opened our second Holler & Dash during the fourth quarter in Tuscaloosa, Alabama. Now turning to fiscal 2017, during this ongoing challenging period in the restaurant and retail industry consumers are more selective in where they allocate their disposable income. They look to brands that have earned their trust through consistency of execution and delivery of the brand promise. Through our highly differentiated brand experience that includes real home style food, retail products that are unique and fun, service that is friendly and caring, all at a fair price we continue to leverage our brands strengths to compete and believe we will continue to deliver growth and profitability. Our most important priority in fiscal 2017 will be enhancing our core business by broadening our relevance to grow frequency of use across demographic groups and generations, and by improving our business model to reduce operating costs and further drive margins. Through enhanced marketing messaging, menu innovation and new retail merchandise we plan to broaden our relevance to those demographic groups and generations that have historically been light users of our brand. In the near term, we will focus on the following. First, we are employing a fully integrated marketing campaign, adjusting our approach to better leverage our advertising spend and driving more of a call to action. Second, we are using a dual messaging strategy that focuses on breakfast all day as well as choice and variety through our country dinner plates menu category. Third, we are continuing to broaden our target demographic to include millenials in the multi cultural communities through our spotlight music program, grassroots community programs and targeted advertising campaigns. Fourth, to better address an increasingly time starved consumer; we are enhancing our off-premise business. Our strong equity and real home style foods and history as a destination for holiday occasions position us well for large party off-premise solutions. With enhancements to our existing menu and service offering complete, we are now turning our attention toward a system-wide implementation of our new Heat n' Serve holiday meal program. Additionally, we believe that the large party off-premise category represents an opportunity for incremental traffic and that Cracker Barrel can secure more share from this market. And we are now working on further improvements to our menu packaging, marketing and customer journey. Finally, we expect a challenging and heavily promotional retail environment through the holiday period. We have and are continuing to prepare for this through adjustments to our merchandised plans, including more aggressive mark downs as needed. A home decor and apparel assortments will provide our guests with products that are both stylish and functional. We’ve increased the breadth of our annual great gifts assortment given its historic success and we’ve updated our Christmas merchandise offerings to introduce more current style options. During the fiscal year our emphasis on enhancing our core business will also further improvements in our business model and in reducing operating cost to drive margins. We anticipate operating margin pressure in fiscal 2017 from continued and increasing wage inflation headwinds. We believe, we can mitigate this margin pressure and further leverage our margins through realizing an additional $15 million to $20 million in cost savings by the end of the fiscal year. These will be partially offset by our planned 20 basis point increase in advertising spend as a percent of revenue to support our fiscal year marketing efforts and I’ll be sharing more specifics on these opportunities throughout the fiscal year. During fiscal 2017, we plan to expand our footprint in new and developing markets while rebuilding our store opening pipeline to accelerate future growth. We’ve been pleased with the success of our fusion prototype and our new store openings as well as our geographic pricing tiers and anticipate opening seven to eight new stores during the fiscal year. Finally, we plan to extend our brand by optimizing on long term growth drivers like Holler and Dash to further drive shareholder value. We currently plan to open four or five additional Holler and Dash locations during the fiscal year in markets including Orlando and Nashville as we seek to understand the long term potential of this concept. As a reminder, we do not anticipate Holler and Dash having a meaningful impact on our financial model during fiscal 2017. I believe our shareholders will benefit from our focus on each of these 2017 business priorities in both the short and long term. And with that, I’ll hand the call over to Jill Golder our CFO for more details on the quarter.
Jill Golder: Good morning, everyone. And thank you, Sandy. I would like to begin by discussing our financial performance for the fourth quarter of fiscal 2016 and the full fiscal year and then our outlook for the 2017 Fiscal Year. In this morning’s release we reported fourth quarter net income of $51 million or $2.12 per diluted share representing a 7.6% increase over prior year earnings per diluted share of $1.97. For the full fiscal year, we reported adjusted net income of $181.7 million or $7.55 per diluted share when adjusted for the impact of a reduction of the provisions for uncertain tax positions and the December 2015 retroactive reinstatement of the work opportunity tax credit. This represents a 10.7% increase over the prior year’s adjusted EPS of $6.82, when also adjusted for the prior year impact of a litigation matter and the December 2014 retroactive reinstatement of the work opportunity tax credit. For the quarter, we reported total revenue of $745.6 million, an increase of 3.7% when compared to prior year revenue of $719.2 million. Our restaurant revenue increased 3.6% to $609.5 million and our retail revenue increased 3.9% to $136.1 million. Our total revenue increase was driven by positive comparable store sales growth and the net opening of two new stores. We ended the fiscal year with 639 Cracker Barrel stores and two Holler and Dash stores. Comparable store restaurant sales in the quarter increased 3.2% as average check increased 4.4% and traffic decreased 1.2%. The increase in average check reflected menu price increases of approximately 2.4% and the favourable menu mix impact of 2%. The fourth quarter mix favourability was driven primarily by our summer menu features, Campfire Chicken, Beef and Mixed grill entrees as well as our core menu Fried Shrimp Platter, which was highlighted during the period. Our fourth quarter GAAP to the industry for both comparable store restaurant sales and traffic marked our largest quarterly out performance relative to the casual dining industry during fiscal 2016. Comparable store retail sales increased 3.5%, driven primarily by growth in our women’s apparel and print media category. Total cost of goods sold in the quarter was 30.6% of total revenue, a 50 basis point improvement from the prior year quarter. Our restaurant cost of goods was 26% of restaurant sales compared to 27.2% in the prior year quarter. This 120 basis point improvement was driven by commodity favourability and savings realized through our targeted food management initiative. These were partially offset by cost mix, unfavorability from our summer menu promotion. On a constant mix basis our food commodity costs were approximately 230 basis points lower in the quarter than in the prior year quarter, driven primarily by deflation in our beef and poultry categories, partially offset by inflation in the pork category. Our retail cost of goods sold was 50.9% of retail sales compared to 48.6% in the prior year quarter. This 230 basis point increase was primarily the result of increased mark down spend. Our retail inventories at year-end were $114.6 million compared to $115.8 million at the prior year-end, labor and related expenses were $260.6 million or 35% of revenue which as a percent of revenue is flat compared to the prior year quarter. Other store operating expenses in the quarter were $142.7 million or 19.1% of revenue compared with other store operating expenses of $132.7 million or 18.4% of revenue in the prior year quarter. The largest component of this 70 basis point increase was the previously discussed planned increased in advertising spend. In addition, supply expenses were up driven by our campfire menu offering, as well as an increase in expenses from disposal of assets. Store operating income was $114.4 million in the fourth quarter or 15.3% of revenue compared with store operating income of $11.3 million or 15.5% of revenue in the prior year quarter. General and administrative expenses in the quarter were $36.8 million, a reduction of $1.8 million from the prior year quarter. As a percent of revenue G&A decreased 50 basis points to 4.9% versus 5.4% in the prior year fourth quarter. This reduction was primarily the result of decreased incentive compensation. Operating income was $77.6 million or 10.4% of revenue compared with operating income of $72.7 million or 10.1% of revenue in the prior year quarter, an improvement of 30 basis points. Interest expense for the quarter was $3.5 million which is flat compared to the prior year fourth quarter. Our effective tax rate for the fourth quarter was 31.1% compared to an effective tax rate of 31.5% in the prior year quarter. For the full fiscal year, our adjusted tax rate was 31.8% compared to an adjusted tax rate of 32.2% in fiscal 2015. Turning to our balance sheet. We ended the fiscal year with $151 million of cash and equivalents compared to $265 million at the prior fiscal year end. During the fiscal year the company made regular quarterly dividend payments which totalled $4.40 per share. In addition, the company paid two special dividends. One was declared in fiscal 2015 on June 2nd in the amount of $3 per share which was paid in August of fiscal 2016. The second was declared in fiscal 2016 on June 1st in the amount of $3.25 per share and paid in July of fiscal 2016. The special dividend payments in conjunction with our regular quarterly dividend payments reduced our cash balances by approximately $256 million. Our total debt was $400 million at year end. With respect to our fiscal 2017 outlook, everyone should be mindful of the risks and uncertainties associated with this outlook as described in today’s earnings release and in our reports filed with the SEC. We expect to report earnings per diluted share for the 2017 fiscal year of between $7.95 and $8.10. This earnings estimate assumes total revenue of between $2.95 and $3 billion reflecting anticipated increases in comparable store restaurant sales and comparable store retail sales in the range of 1% to 2%. This reflects our current belief that the consumer environment will continue to be challenging through the holiday season. As we believe the gap between food at home and food away from home prices has continue to risen and that the consumer will still look for value propositions in fiscal 2017. We have planned a deceleration in menu price increases from our previous two-year run rate and anticipate our fiscal 2017 menu pricing to be in the range of 1% to 2%. We expect to open seven or eight new Cracker Barrel stores and four or five new Holler and Dash stores in fiscal 2017. We expect decreases in food commodity costs and a constant mix basis in the range of 2% to 3% for the fiscal year with approximately 70% of the favourability being driven by lower year-over-year egg prices. We anticipate greater favourability from commodity deceleration in the first half of the fiscal year with the second half favourability being closer to flat to slightly negative. We have locked in our pricing on approximately 45% of our commodity requirement for fiscal 2017 which is relatively flat to this time last year. We anticipate fiscal 2017 wage inflation on a constant mix basis to be in the range of 2.5% to 3.5%. We expect advertising expenses to be approximately 2.9% of revenue compared to 2.7% in fiscal 2016. We expect our operating income margins for the year to be between 9.5% and 10% of total revenue. This guidance includes a target of $15 million to $20 million in reduced expenses from the anticipated successful implementation of our cost savings initiatives. We anticipate reduced labor expenses to account for approximately two-third of the targeted amount. Based upon our current implementation time lines we expect sequential increases in quarterly savings from these initiatives. We expect depreciation expense of between $85 million and $87 million for the year and net interest expense of approximately $15 million. We expect an effective tax rate for the year of between 31% and 33%. We anticipate that capital expenditures for the year will be approximately $125 million. Our capital expenditures include maintenance cost related to the upkeep of our store based, as well as technology and strategic initiative which are intended to improve the guest experience and improve margins. This estimate also includes the acquisition of sites and construction costs of seven or eight new Cracker Barrel's stores and four to five new Holler and Dash stores that we plan to open during 2017 as well as acquisition and construction cost for store locations to be opened in 2018. For the first quarter of fiscal 2017 we expect to report earnings per diluted share of between $1.75 and $1.85. This is predicated on our current expectations as we anticipate a continuation of traffic pressure in addition to an increasingly challenging retail environment. We also expect commodity deflation in the first quarter partially offset by an increased in retail cost of goods sold. And with that, I'll turn the call over to the operator so that we can take your questions. Thank you very much.
Operator: [Operator Instructions] The first question comes from Joseph Buckley with Bank of America. Please go ahead.
Joseph Buckley: Hi, thank you. Can you talk about the check a little bit more in the fourth quarter? I know you attributed the two points of mix improvement to the Campfire grill into a Shrimp Platter. Maybe could you elaborate a little bit further like the Campfire grill what the pricing was like versus the rib promotion a year ago or even the Campfire grill promotion of two years ago and just the sustainability or potentially lack thereof of mix increases?
Sandy Cochran: Joe, let me – I'll turn it over to Chris and let him add some specific but just to set this up we don't design our promotions to drive that kind of check. In fact, we work on each of our promotions to offer a variety of price points so that guest can sort of enter the brand and at whatever level they need to and our summer promotion this year surprised us a little and in a positive way by how popular the Campfire was and that Shrimp Platter. It did also drive cost up, but let me turn it over to Chris to see if you would compare that to the last time we offered campfire.
Chris Ciavarra: Sure. Good morning, Joe. My memory is taking back to a year ago. The prices for campfire are generally in line with what we featured with ribs and are probably a little bit higher than they were two years ago with the previous Campfire when we ran both chicken and beef. I think as Sandy notes we do aim for an overall promotion, that's got a range of price point coming into it. In this case as Jill noted, the Shrimp did contribute a good portion of a sales mix benefit as well.
Joseph Buckley: And a question on pricing, you shared with us the plans for 1% to 2% pricing for the full year. The fourth quarter price factor was 2.4. How will that sort of run off as the year begins, will the first quarter or perhaps the first half be higher than that 1% to 2% range with the second half in the range or maybe towards lower end of the range?
Chris Ciavarra: Joe, I guess, I would say, we plan to maintain our historical pricing cadence, so we typically price in August and then again in March I think as you know, we are certainly planning to take a lower than recent average price increase in both the fall and spring updates. And including roll forward of our previous increases we would say the full year as Jill mentioned will be in the 1% to 2% range.
Joseph Buckley: Okay. Can you say how much price you took in August versus what rolled off a year ago?
Sandy Cochran: We don't typically do that. I don't think, Joe.
Joseph Buckley: Okay. I'll just sneak in one more just kind of a big picture question. When we look back at the three-year plan at the Analyst Meeting in 2014 and look at where you are today, the revenues are little bit short of what you're projecting. The EBIT margins and EBIT are much higher and kind of a question on both. Was the revenues shortfall, which is modest but was that more new unit driven and on the margin side, did the cost savings plans outlined in the past, were they more productive than you thought or did things just happen a little bit more quickly than you thought?
Sandy Cochran: Okay. Let me take a stab. There's a lot in that question. So, first of all, I think that we had hoped that by this time the industry and the consumer would be stronger than we currently are certainly experiencing the consumer. Second, we anticipated more new stores sooner. We slowed down our new store cadence slightly so that we could incorporate the learnings we were getting from our fusion prototype which we're very pleased with. And with the idea that we would after we fine-tuned that or tuned it up more than the initial alpha, it would be -- we would be able to reaccelerate, so that certainly had an impact weeks of new stores. We were not expecting the commodity environment to shape up the way that it has and our wage pressure probably didn't happen quite as soon as we thought it would several years ago. It's been – our initiatives I think some overall I'm very pleased with what our team has delivered in terms of the progress we've made on a number of fronts just not only formulating but executing against number of initiatives all across the chain, lots of change for a lot of our employees. And in general I would say that those are coming along as we expected. As Larry noted in the last couple of calls, there were a couple of initiatives that we decided to slow down as we became concerned about the consumer and we wanted to ensure that in this environment we didn't do anything to overly disrupt the guest experience. So we've been more cautious about the pace that we've implemented them more than the results we've gotten when we do.
Joseph Buckley: Okay. That's very helpful. Thank you.
Operator: The next question comes from Bob Derrington with Telsey Group. Please go ahead.
Bob Derrington: Yes. Thank you. Couple of questions. Sandy, I'm not sure to address this to you or Jill. Basically you provided us with some earnings guidance for the new fiscal year and specifically for the first quarter. Now within that earnings guidance you didn't give us any color on what comprises that guidance. And so I'm trying to understand whether should we be expecting a weaker comp outlook in the near term, whether affected by the hurricanes that are affecting the harsh range, affecting about 26% of your stores or what kind of color can you provide; on the last call I think Larry actually called out that both same-store sales and traffic were positive. What can you help us with now?
Jill Golder: Bob, this is Jill. So as we think about the quarter one guidance, our typical practice is to provide guidance in the range of $0.10 on the quarter from EPS which we provided, so we expect $1.75 to $1.85 based on our current assumptions, I will add that we anticipate restaurants sales to be at a lower end of our guidance of 1% to 2% and retail sales to be negative in the first quarter. And as I said in my script, we expect commodity deflation in the range of 2% to 3% for the year which much of that coming in the first half. Some offset retail cost will be higher given the higher promotional environment in the near term.
Bob Derrington: Okay. All right. That's super helpful. I really appreciate that. As we think about the mix of new stores opening through the course of the year, any kind of color on the timing and when we would anticipate the Old Country Store versus Holler & Dash and how many on a quarterly basis, any kind of sequential progression?
Sandy Cochran: We've got one open, one actually that was supposed to have open last fiscal year. We've got one under construction and then the majority of the other are sort of at the end of the year, the late third, fourth quarter. Holler and Dash is – this spread, I think we've got one in about 60 days, one in 90 and then there is the other two or three will be at the end of the year.
Bob Derrington: Okay. And then last question, back to the mix scenario, with mix is strong as it was in fourth quarter, should we be anticipating that mix actually could be negative in the next couple of quarters. Is there some risk that mix is so high Sandy that ultimately there's kind of sticker shock when customers pay their check and they see how much it was?
Chris Ciavarra: Hey, Bob, it's Chris. I would say, we are designing our promotions. We as Sandy said earlier, we're designing them to be ultimately kind of drive traffic through them, but providing compelling offer with lot of variety, so we aren't really looking to drive a mix effect. So if the consumer is opting into it on their own. I understand your point around potentially sticker shock, but the prices we're presenting we think are in line with the core menu and wouldn't necessarily be creating that perception.
Bob Derrington: Terrific. I'll Jump back in the queue. Thank you.
Operator: The next question comes from Michael Gallow with CL King. Please go ahead.
Michael Gallow: Hi, good morning. I just want to dive in again a little bit on ticket? I know you have the plan to kind of move to more of the tier pricing. I was wondering when you look at sort of not taking as much check list here whether you've seen more resistance in some markets than others as you move that tier pricing or whether this is just a broad reaction to the consumer. And then on that second note, I was wondering if you have seen any consumer feedback on some of the pricing in some areas might have gone too high? Thanks.
Sandy Cochran: So, I will start and then turn it over to Chris, Michael. I'm pleased with the results and the learnings we’ve gotten from our geographic pricing tiered strategy and currently have been able to pull through the pricing at each of the tiers that we’ve been at. The pricing decisions we made for this fiscal year were more centred on wanting to ensure that we continued to be appropriately value focused for a consumer that we think is looking for that, as well as cognizant of the situation with food at home versus food away from home and the pricing discrepancies. So, it was more of a strategy that was just trying to ensure that we were committed to providing value and to be competitive. Chris, do you have anything you want to add to that?
Chris Ciavarra: I think Sandy has characterized it pretty well. I think as you know we’ve been careful with how and when we choose to take price over the years and we believe we’ve been very successful in pulling through those price increases. I would say the deflationary environment around food does create some downward pressure on the overall category and as Sandy noted our intent on maintaining a strong value position is important to us given the brand equities we have. So, I think we’ve been very mindful of these effects and the price at slightly lower than historical level. And so we'll continue to refine and extend the market level pricing we started installing a few years ago and believe those continued refinements will allow us to meet the plan we’ve outlined in this year’s plan.
Michael Gallow: Well, thank you.
Operator: The next question comes from Jake Bartlett with SunTrust Robinson Humphrey. Please go ahead.
Jake Bartlett: Great. Thanks for taking my question. I had another one on just the kind of the near-term trends. I just want to fully understand what you are seeing and what you are trying to communicate with in terms of traffic and price. I think you mentioned that you expect traffic to kind of remain weak from the July levels. If I take July and I just add your pricing I am getting negative results, I am trying to understand how you get to the kind of 1% that you talked about in the first quarter. What gives you confidence there? And then, within that question possibly, what you have done in August in the fall menu that could maybe helping mix or traffic or something else?
Sandy Cochran: Well, Jake, actually we don’t tend to provide. Actually, we don’t provide as much as we provided this morning in terms of our quarterly guidance. Though I think that what we provided today and the additional colour that Jill added is sort of reflects our current thinking given where we are and what we believe the consumer, the position that the consumer is in and it takes into account everything we’ve experienced up to now in terms of all the various weather and issues. In terms of what we are doing in the market, I will let Chris speak to the marketing programs and the things we are doing in the restaurant to try to drive, use in this environment.
Chris Ciavarra: I think Sandy noted in our script, I'll point to a few things this morning. We have been adjusting our marketing approach. We're trying to get more leverage out of the line. Drive a lot more call to action. I think we're doing it in three ways right now. I think on the creative, if you watch the creative, it is moving towards much more predominantly featuring a product which gives an immediate reason to visit. We’ve adjusted the commercial links from the portion that are being 30s to more 15s, driving little more reach and frequency for us. And then we’re going to have about same number of weeks as last year. We have more grips this year than last year, which we think is a benefit. Sandy talked about the work we're doing to broaden our target demographic, including millennials and multicultural groups. We’ve been adjusting our media channels and programming to better reach this audience. We are putting in as well as the creative, putting in new channels, things like Snapchat. Our artist mix, as Sandy has talked about that spotlight program with much younger artist think of cam [ph], Needtobreathe, Pentatonix really driving more cultural and marketplace relevance; in a multicultural side employing a lot more holistic souls with grassroot community programs, enhancements and targeted marketing programs. And then, from an off-premise perspective as Sandy talked about, I think we are excited about the idea of getting this Heat n' Serve program in a market and seeing what that can do for us in Q2 in particular.
Jake Bartlett: Great! And then in the comments about the industry, Sandy perhaps you can talk about -- I think you also mentioned that you expect weakness through the holiday quarters. I didn't know whether that was just a comment that just mainly pertains to retail, but is your view that the industry is going to get better as we get passed the holidays as your 1% to 2% comp for both the restaurants and the retail predicated on an improving environment as we get passed the holidays?
Sandy Cochran: I'm not sure it's as much a view about they'll get better. Although, we are hopeful that by the spring that the consumer will began to feel more optimistic and more settled than we believe they are feeling right now. Some of the issues we think will be passed, particularly the retail environment and what I believe is going to be a very promotional fall in holiday. In terms of the consumer our -- it's a difficult subject to get any strong conviction about where it's going. If I had to say overall, it just feels like many consumers -- it's an uncertain environment. The source of uncertainty seems to differ depending on who you are and your situation. So for some it maybe the political rhetoric, for others it maybe their personal employment situation, for some it maybe healthcare cost, for some it maybe figuring out how to save for retirement, but overall it does feel like despite the fact that there are certainly are signs -- some signs that would suggest the consumer is stronger, but it does feel like it's very uncertain and that they are holding back at least in their spending in the restaurant sector.
Jake Bartlett: Got it! And then last question. This is for Jill. I had a question about the guidance, the EPS guidance is roughly I think 5% to 7% increase, yet on the low end of your revenue guidance it’s just about I think 1% increase and low end of the operating margin expansion its slight contraction. So trying to understand how you to get to any -- how you get to the kind of low end of EPS given the low end of the other two items?
Jill Golder: Great! Thanks, Jake. So as you think about our guidance and our expectations within each range that we provide. I'd recommend that you work more towards the midpoint of the range rather than assuming all the expectations are either at the low end or the high end of each range. And then certainly our practice has been to narrow those ranges as the fiscal year progresses.
Jake Bartlett: Great. Thank you very much.
Jill Golder: Thanks, Jake.
Operator: The next question comes from Jeff Farmer with Wells Fargo. Please go ahead.
Jeff Farmer: Thanks. Just lot of similar topics here, I want to drill further down on the income statement. So just again back in the envelope looking at the guidance for the commodity basket deflation, which you said about menu pricing. It could imply something close to 100 basis points of COGS favorability. Give or take you have the incremental cost savings, I think equates to something like 20 to 30 basis points, I think that's on an net basis, but needless to say they just call it roughly 100 basis point of favorability that you called out? So then the question becomes in terms of looking at an operating income margin that's expected to be flattish to up 50 basis points. Well, what the big offsets are there? So it's -- this is I guess really the heart of the question across labor, G&A and the other operating expense lines, which are those would you expect to see pressure versus FY 2016.
Jill Golder: Okay. So, Jeff, its Jill. I think about it this way. So there are a number of moving pieces as we discussed in my prepared remarks. So, on the positive side we're looking at pricing of 1% to 2%, as well as the commodity deflation of 2% to 3% and then our fiscal 2017 focused on cost savings initiative if successful we'd expect to be between $15 million to $20 million in improvement. So that's on the positive side. Our headwinds, our wage inflation of 2.5% to 3.5% and then as we mentioned we are anticipating pressure on our retail margins due to the current environment.
Jeff Farmer: Okay.
Jill Golder: In addition we are investing 20 basis points in advertising and depreciation, so I think kind of taking the midpoint of some of these items together you get to the operating income margin guidance that we provided of 9.5% to 10%.
Jeff Farmer: All right, that’s helpful. And then another sort of follow up on a topic that’s come up a lot today. So just trying to better understand the consumer right now, a lot of head scratching out there in terms of what’s actually led to this pretty dramatic decline in both same store sales and traffic level, so you guys have offered some commentary but I’m curious do you survey your consumers? Do you survey them, you actually collect the information from them in terms of what they are thinking about either on the own economic situation or their retail in restaurant spending?
Sandy Cochran: We survey them on a lot of things, how much do they like our food, how much do they -- how do they feel about our services and so on. We don’t survey them about how they feel about the economic environment. But Chris, is there anything that...
Chris Ciavarra: Yes we have a variety of measures in the market as you can imagine everything that I’m looking at in our in store execution. We have ongoing trackers to understand how the brand is performing, relative to awareness and usage and attitudes and things like that, so we are feeling for how the customer views our brand specifically if we tend to look at more third party sources when we are thinking about the environment.
Jeff Farmer: Okay and just one question, you did mention that off-premise business. Where does that stand now, what’s the opportunity, where can that go?
Sandy Cochran: Well we are going to provide more information as we go through the year. Right now it is going to be focussed on the system wide implementation of our Heat n' Serve meals at the holidays, so I think the Thanksgiving meal that we’ve been talking about on the last few calls which we will then put in at Christmas, we’ve been testing and we’ll be implementing more broadly the Easter Heat n' Serve. We are actually beginning the test and will be over the year rolling a new catering menu, which is designed to meet the needs of the large party off-premise business occasion as well as consumer occasion, so in a more effectively marketed some new menu items, some new systems and technology in the stores all of which we think will allow us to better compete for this occasion and in this market.
Jeff Farmer: And now just – fortunately [ph] can I slip in one quick final question here? Turnover, I've been asked about this constantly so are you feeling it? Is it happening turnover rates accelerating?
Sandy Cochran: We certainly monitor it everywhere and they are certainly pockets of concerns in the field but in general, I think that we feel good about our ability to keep the employees that we've hired and we believe at least that we are better than the industry on both our hourly and our Management turnover.
Jeff Farmer: Thank you.
Operator: The next question comes from Alton Stump with Longbow Research. Please go ahead.
Alton Stump: Good morning, Sandy and Jill.
Sandy Cochran: Good morning.
Jill Golder: Good morning.
Alton Stump: Good. I just had a quick question, most of my questions have been answered, but you know just on the sort of development front you know 70 new Cracker Barrels obviously you are also doing four to five new Holler and Dash, but I – would be surprised it was higher than just given that you are opening an – and will open a couple of stores that if you are west or of course the current fiscal year, you know so I mean you obviously seem to apply that you are going to sort of step back a little bit atleast for Cracker Barrel concepts as far as builds existing you know either on west markets. Any reason why that is the case, is a matter of that you have of course a second concept out now as you want to put some focus behind that or is there something else going on as far as sort of the overall store growth slowed a little bit for Cracker Barrel in the core markets?
Sandy Cochran: Well I think our expectation has been that we would eventually accelerate new store growth sort of that 10 to 15 range versus where we are and I would expect to be there perhaps by next year like I said. I think that the delay was more centered around ensuring that our fusion prototype and our geographic pricing tiers was that we understood the benefits around that so that we could model sites that needed those benefits to ensure that we were delivering shareholder value with our new stores. I am very pleased with the most recent new stores in both Idaho and Nevada have opened very strong and have actually stress tested our fusion kitchen in terms of the level of volume that it is able to produce at a lower headcount and with higher productivity. So, we have ramped up our new store site selection activity and will be I think this year where we just announced there’s more than in FY'16 and I would not be surprised if in FY'18 there was even additional stores. The growth in the Cracker Barrel new store opening plant is unrelated to the Holler and Dash store opening which is a different team sort of operating on a different plan and that opening plan is more driven by us trying to open enough to get the learning center understand the long term potential of the brand before we’ve opened more than we wish we have.
Alton Stump: That’s all I have. Thanks Sandy.
Sandy Cochran: Thank you.
Operator: The next question is from Stephen Anderson with Maxim Group. Please go ahead.
Stephen Anderson: Yes, good morning. Wanted to ask about the expected tax rate, you have a fairly wide range of between 31% and 33%. And you've mentioned the last couple years the effective tax rate has been just a little bit North of 31%. Is there anything in your expectations that would lead you to think you would see an increase in your expected tax rate going forward?
Jill Golder: Good morning, Steve this is Jill. Yes, we tend to begin our fiscal year guidance with a wider range and as a reminder, on an adjusted basis our prior year tax rate was at 31.8%, so when we provided guidance for this year of 31% to 33% we’d expect to be in the middle of that range and it does include the 2016 five year reinstatement of our WOTC.
Stephen Anderson: Allright. Thank you.
Operator: The next question is a follow up from Joseph Buckley with Bank of America. Please go ahead.
Joseph Buckley: Thank you. just a question on the 15 million to 20 million of cost savings, I think you mentioned two thirds of that would be in labor. Could you talk about where you are in a different programs or initiatives on labor that is yielding that kind of savings?
Sandy Cochran: Joe we'll provide more information as we go through the year on that in more detail. I can say that the initiatives are that labor makes up the bulk of it and that was always intentional as we saw a number of years ago and have been discussing what we believe a pressure that will have on wage rates and wage inflation. I will also say that the initiatives are mostly not all, but mostly learning from the fusion prototype and the work we've done there that this constitutes sort of a retrofit if you will. It isn't involved capital but it is learnings that this is allowing us to go back into the field and sort of surgically take some labor out in places, restructure, duties in a way that we think will get the kind of numbers at least we hope to get the kind of numbers that Jill laid out.
Joseph Buckley: Okay, thank you.
Operator: The next question is a follow up from Bob Derrington with Telsey Group. Please go ahead.
Bob Derrington: Yes, thank you. Jill, could you give us a little bit of color on specifically back to the depreciation line, your guidance for 2017 versus 2016 is up approximately about 10% or so, and yet the unit counts are only up maybe 1% to 2%-ish, so can you give us a little bit of color on what's driving that increase in depreciation and then I have a follow-up to that.
Jill Golder: Yes, sure, Bob. So as I mentioned, a portion of this increase is driven by our fiscal 2016 increased capital spend and then really the remainder is driven by our 2017 capital spend around our continued forecast of that higher increase. So just as we've increased the capital spend we've seen that depreciation number increase as well.
Bob Derrington: Okay, is it based on shorter depreciable like assets, you know whether technology or something related to that?
Jill Golder: Yes, it’s just really a mix of all on the assets.
Bob Derrington: Okay. All right, and then second question, basically I guess there's about three years or so ago, Sandy you all provided us a great framework for the companies plan looking forward at an Analyst day and I think we originally you all were talking about one in this past Spring move to this Fall, any kind of timeline on when you anticipate that we would actually have that Analyst day?
Sandy Cochran: No, we have not set a date for that, but thank you for saying you found it helpful and as soon as we schedule it, we'll publish the date.
Bob Derrington: Okay, That’s terrific. Thank you.
Operator: The next question is a follow up from Stephen Anderson with Maxim Group. Please go ahead.
Stephen Anderson: Yes, with regard to your calendar, is there any calendar shifts that we should be made aware of specifically with the holiday season and the shift of the Christmas holiday?
Sandy Cochran: Well, certainly there aren't any shifts across quarters, which sometimes can happen and Christmas this year is going to give us I think one more Friday and sort of half of the day Saturday because Christmas Eve this year is Saturday and will be close to Sunday, and that's probably a benefit to us and that's baked in and a benefit was baked in by in our guidance.
Stephen Anderson: Okay, thank you.
Operator: The next question is a follow from Jake Bartlett with SunTrust Robinson Humphrey. Please go ahead.
Jake Bartlett: Hi. Thanks for taking the follow up. My questions on G&A, in 2016, I believe you mentioned that even in this quarter less incentive comp I'm wondering whether G&A accelerates more than usual in '17, is that part of the pressure towards the constraint on your operating margins.
Sandy Cochran: So as we think about G&A this fiscal year, we would expect it to be relatively flat as a percent of revenue to the prior year.
Jake Bartlett: Okay, so there’s no sort of catch up because of lower incentive comp in '16?
Sandy Cochran: No '16 is just -- was a more normalized incentive comp. '15 it was high, yes it was '15.
Jake Bartlett: Right. Okay, thank you very much.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Sandy Cochran for any closing remarks.
Sandy Cochran: All right, thank you. Well while 2016 was a challenging year within the restaurant industry, I am very proud of our more than 70,000 employees for remaining focused on executing our strategic plans and delivering our pleasing people mission as we begin our new fiscal year continuing to deliver positive results and provide value for our shareholders and guests remains our first priority. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.